Peter Dietz: I'm happy to lead you through today's call in which we will be presenting our financial results for the third quarter and the first 9 months of '25. After the presentation, we invite you to submit your questions via the Zoom Q&A function. Joining me on the call today are our CEO, Tobias Wann; and for the first time, our new CFO, Hansjorg Muller. As usual, Tobias will begin with an update on strategic highlights and relevant business developments. Afterwards, Hansjorg will guide you through the financial results in more detail. And of course, we'll also provide an outlook and look forward to answering your questions at the end. And with that, over to our CEO, Tobias, who will give you an update on the world of tonies.
Tobias Wann: Thank you, Peter, and a warm welcome also from my side. Thank you for joining our earnings call. Today, we are looking back on a quarter that was eventful and even historical for tonies because we opened a new chapter by launching Toniebox 2, our biggest innovation since introducing Toniebox 1 back in 2016. We've done so very successfully and by staying true to our mission. Across the world, we have strengthened our position as the largest audio platform for kids. With Toniebox 2, we are not only redefining how children grow through listening, touch and play, we're also unlocking additional growth potential for tonies with new audiences and use cases. We also reached another milestone in the third quarter documented on this slide. We sold our 10 million Toniebox. Fittingly, it was a Toniebox 2. Overall, Tonieboxes have been activated in more than 100 countries with over 134 million Tony sold. In the third quarter, we not only expanded our reach with 282 minutes, our average weekly play time also remained on a high level. This is an important KPI. It shows the positive impact our screen-free product has on families and it's highly relevant for our business as it underscores a deepened engagement with our platform. Let's now take a look at our Q3 in financial numbers. We had an exceptionally strong third quarter, and we are very satisfied with our performance in the first 9 months as well. Q3 was not only historical, but also highly successful. We increased revenues by more than 52%, growing our year-to-date performance by 33% or EUR 322 million on a group level. And I'm pleased that all markets contributed to this increase. In DACH, we recorded double-digit growth. After 9 months, revenue was up 16%. North America continued its strong momentum with 36% growth year-to-date. And in Rest of World, revenue surged 80% compared to the first 9 months in 2024. As I said, the launch of Toniebox 2 was a key driver behind this strong performance, also accelerating our annual performance. Our sequential growth from Q2 to Q3 was obviously supported by phase-in effects as the first Tonieboxes 2 hit the shelves in September. But our new core device has also hit the Spirits of the Times, generating significant momentum across markets. We have seen impact both from upgraders, so that's households already owning a Toniebox as well as first-time buyers of a Toniebox 2. So we are on a good trajectory to continue our long-term platform growth. And we are not only on track to reach our long-term, but also our midterm goals. With Toniebox 2 off to a good start and a strong Q3 business performance, we are pleased to confirm our full year guidance for financial year 2025. More on that later, but let me already state that this underscores our resilience in a challenging macro environment. In the next few minutes, I'll dive a little bit deeper into our business update for Q3. Our strong performance is the direct outcome of several major steps forward that we took over the past few months. Today, we look at some highlights. After a deep dive into the launch and early performance of Toniebox 2, we'll cover relevant developments in our major markets and exciting new partnership. And naturally, Hansjorg will introduce himself. And what I want to reiterate, not only have we worked to drive immediate results over the past month, we've also focused on preparing the road ahead. Therefore, we are well positioned to deliver another strong Q4. We'll be taking a look at that as well. But now let's dive in. Toniebox 2 is the champion, leading the next chapter of our platform and growth strategy. Most of you are very familiar with Toniebox 1. For over 9 years, it set the benchmark for creative screen-free play, earning the trust of families in over 100 countries. That has made us the global #1. And Toniebox 1 never became out of fashion. It was a huge success among different cohorts selling as well as or in most cases, even better than in the year before for nearly a decade. Toniebox 2 is built on this unique success story. It has everything that made Toniebox 1 highly popular. But with Toniebox 2, we are adding new use cases, enhanced features and even more immersive interactive experiences. At the same time, Toniebox 2 unlocks entirely new possibilities to shape and expand our business with new verticals in a broader age group. In a nutshell, we carry forward our legacy while setting the stage for a future with more imagination and more growth. Toniebox 2 is both continuing and enriching the experience millions of kids and families have fallen. At its heart, it's a screen-free audio-first experience. But with Toniebox 2, it's becoming even more engaging. tonies has always said right at the intersection of tech, toys and content. All of that still holds true, but now we are adding something new to the mix, gaming. Alongside Toniebox 2, we've introduced Tonieplay, a whole new expanding product category that brings interactive games and quizzes to our platform. This hands-on experience perfectly complements our successful audio offering. The combination of Toniebox 2 and Tonieplay will be a key driver of our growth going forward. Let me explain why. We are expanding our platform, driving growth across a much broader target group with entirely new growth vectors. We are reaching families earlier, engaging children for longer and creating more opportunities for cross-selling and ecosystem participation. This broader appeal increases our total addressable market and strengthens our long-term growth trajectory. Specifically, Toniebox 2 unlocks 3 key growth vectors. Growth vector #1 are younger children. For the first time, Toniebox 2 is certified for use by children 1 and up. We've developed new age-appropriate content like My First Tonies, allowing us to welcome families into the tonies ecosystem earlier and build more loyalty from the very start. Growth vector 2 is our core target. The 3 to 6 age group remains central. And with Toniebox 2, they benefit from enhanced features while the familiar tactile play experience is preserved. In established markets, this also creates a strong upgrade incentive for existing Toniebox families. Growth vector 3 are older kids. We are now offering formats and interactive games designed for children up to age 9 or even older. By activating these 3 growth vectors, Toniebox 2 enables us to attract users at an earlier age, engage with them more deeply and retain them for longer. This expands our installed base, increases customer lifetime value and opens new opportunities for licensing partnerships and recurring revenue. In summary, Toniebox 2 is a catalyst for the sustainable growth. While it's still early, we are already seeing some very encouraging signals from our global community that our strategy is resonating. Those who already love the Toniebox are embracing the next generation. Early data shows that around 40% of Toniebox 2 buyers at launch are upgraders from our current platform that is owners of Toniebox 1. As we approach the holiday season, we expect this share to shift with Toniebox 2 increasingly becoming the entry point for new families replacing Toniebox 1. It's also clear that parents recognize that Toniebox 2 is a great toy even for the very youngest children. If we only look at Toniebox 2 activators that did not own a Toniebox before, nearly 1 in 3 have 1-year-old kids at home. At the same time, we are seeing that Toniebox 2 is appealing to older children as well, thanks to Tonieplay. Let's look at the DACH market where our new device has been available since September, which provides us with a more solid database. There are 55% of all households with kids 5 years or older that activated the Toniebox 2 have played at least one of our new games. Yes, these are early indicators, but these figures show that the design of the platform is working as intended also because we made a concerted effort to showcase our innovation. To celebrate the launch of Toniebox 2, we hosted events in Berlin, London, New York, Paris and Sydney. Our aim was to connect directly with our communities, inspiring those who already love or who are just now discovering Tonies. Having witnessed the event in Berlin firsthand, I can tell you seeing the excitement of kids and parents interacting with Toniebox 2 is one of the best parts of my job. But that was not all because both in New York and Paris, Tonies was on full display on oversized billboards even after our launch events had ended. These billboards were part of our first truly global multimedia campaign to strengthen our global brand equity. Brand and mission visibility are essential to bring our story to more and more hearts and minds in households around. In addition to our own channel, we also saw global buzz across major news outlets, confirming we introduced the right product at the right time. In total, media coverage on the launch of Toniebox 2 generated over 1 billion impressions worldwide. We are building on this momentum and continue to see new levels of excitement and attention across the global media landscape and also in the broader tech community because less than 2 months after launch, Toniebox 2 already won an award. It's a great honor for us that our new core device was named as CES 2026 Best of Innovation Award winner by the Consumer Technology Association. Global buzz in the media and from peers is important to reach even more families. However, what matters most is that the product truly resonates with those who we created it. The feedback from our community is what drives me and the team every day. The numbers speak for themselves. We are seeing a strong 4.6 average rating, nearly 9 in 10 users would recommend Toniebox 2 to a friend. And the volume of online conversations about Tonies has surged dramatically. But it's not only the sheer number, the sentiment is also overwhelmingly favorable. Parents tell us their children are absolutely loving the TB2 experience from its foundational promise of screen-free time to particular new features such as Tonieplay or the sleep timer. In true Tonies fashion, we even listened to our community and in turn, we've delivered to quote one of our customers, a really well-designed product. For us, this is fascinating feedback, but first and foremost, a source for inspiration to do even better. The launch was about making a strong first impression. And we've done exactly that by ensuring that families everywhere know about Toniebox 2 by creating excitement and by earning our customers' trust. Now the holiday season is about activating our platform at scale and turning that strong first impression into growth. We are entering the holidays with strong foundations, high demand and a platform that's already -- that's ready to perform. And this is particularly true for North America, where our Toniebox has been available for not even 6 weeks now. North America is a key engine for our growth, and we are fully prepared to keep the momentum going. We've secured exceptional visibility. In over 1,500 American Target stores, we are prominently placed with 12 feet of shelf space. Quite literally, no shopper can miss us. Tonies will be front and center this year for families as they browse for gifts. The same is true at Walmart, where over the past year, we've moved from the electronic section to the toy section. Our presence at our retail partners even goes beyond the shelves. We are honored to be featured in Walmart's holiday season video and TV spot alongside household brands like Apple and Nespresso. And here, maybe we can roll the video real quick, Peter? [Presentation] Thanks, Peter. Let's be very clear, this is no paid partnership. Walmart chose us putting our brand in the spotlight during the most important time of the year. With these and more initiatives in place, we are set to drive continued awareness, engagement and sales in North America as we close out the year. Another key to our portfolio's success are local heroes. That's also true for the U.S. A prime example for our ability to secure the hottest licensing content is the Ms. Rachel Tonie. Here's an example. With its launch, our approach and instincts were clearly validated again. Ms. Rachel is a true social media superstar in the U.S. with over 13 billion views and more than 17 million subscribers on YouTube. The response to launching a Tonies with her has been overwhelming. Restock sold out within just 1 single day and almost 130,000 customers signed up for back-in-stock e-mail notifications. The Ms. Rachel Tonie has enabled us to expand into new customer segments, especially households with kids between 1 and 3 years old. This clearly demonstrates how much of an impact securing the most relevant and authentic licenses has for the North American market. And we're moving on to DACH, which is not only our home, but also our continued growth market for Tonies. This year, we are up 16% revenue year-to-date, which shows just how much trust and excitement there is for Tonies in Germany, Austria and Switzerland. Our brand is as hot as ever. 82% aided brand awareness is a fantastic achievement. In addition, we are seeing encouraging feedback from retailers who are eager to promote the Toniebox 2 and their point of sale prominently as shown by the photo in the bottom right. And one recent example for this are our Christmas Tonies. The hype was real before Santa could even think about settling up his rain deer. Our Christmas Tonies have been flying off the shelves with sales doubling compared to last year. And our advent calendar sold out again in just a few hours. And we are not standing still on the channel side either, whether people prefer buying Tonies on the street or on social media, we are there. Turning to a strategic lever that is relevant not only in DACH but globally, partnerships. With Toniebox 2, we set up our platform to be more open than ever to partnerships also now in gaming. One area where we see special potential is bringing globally recognized brands and characters into the world of Tonies. For our partners, this is attractive because in turn, we are introducing the Tonies community to these brands, creating a win-win-win situation for families, for our partners and for us. In the past few weeks, we've taken a major leap forward into our partnership strategy, expanding our collaboration with Hasbro to Tonieplay. In the second quarter of 2026, we'll introduce 3 iconic Hasbro board games, including Monopoly in brand and new audio-first Tonieplay formats that only our platform can deliver. It's a perfect match, 2 trusted brands coming together to unlock new worlds of discovery, connection and joy for families everywhere. With that, I'll now hand over to Hansjorg, who will take you through our financials. Hansjorg, I'm very happy to have you on the earnings call for the very first time today, take it away.
Hansjorg Muller: Thank you, Tobias. Excited to be here. Let me take a moment and briefly introduce myself to the ones who haven't had the chance to connect with me yet. I joined tonies as CFO on September 1. Prior to that and for more than 25 years, I held leadership roles in finance, strategy and operations across various global markets. Most recently, I was CFO of Netflix's APAC business. My positions before included roles at Electronic Arts and Procter & Gamble. In other words, I think I both know entertainment and digital platforms and business models as well as what it takes to bring a physical product to the shelf and the homes of consumers and customers while driving profitable growth. tonies is a special company with fantastic global growth potential. My first 2 months have been super inspiring. I've already had the opportunity to meet many of you and engage in valuable dialogue about the company's strategy and outlook. The openness that I've encountered in our discussions so far have really impressed me. So I'm super excited about what lies ahead and look forward to working closely with you as we continue to deliver our growth ambitions. Please do know, my door is always open for direct conversations and closing exchange. So please don't hesitate to reach out to me at any time. But with that, let's move directly into our results. Looking at our year-to-date performance, we've delivered strong growth across all markets from 16% to 80%, depending on market, a stellar result. For this, together with pulling off the Toniebox 2 launch, a big congrats to our teams. Our growth momentum has picked up considerably in Q3. As Tobias said, this was partly due to phasing effects as we prepared retail partners for the Toniebox 2 launch, obviously, already way before we introduced it to the broader market. This affected the DACH market in particular. Our 9 months revenues came in at EUR 322 million in constant currency, an increase of 33%. In DACH, we're continuing our usual double-digit growth track as we showed in full year 2024. And both North America and Rest of World performed strongly, too. Two other things I'd like to highlight here. First, on top line growth. We anticipated the strong phase-in in Q3. And as a result, our full year guidance remains unchanged. And second, regarding our market split. For us, it's really important to grow globally. So an important KPI here is our share of international revenues, those outside of DACH. And we're pleased to see that we continue to gain momentum here with an increase of 6 percentage points year-over-year to 59%. This confirms our international expansion strategy works, where we grow significantly ahead of the still double-digit growing DACH market. Overall, we're seeing a very healthy balance of growth across all regions with international markets clearly making up the majority of our business. Looking at the category split year-to-date on this slide, you remember -- you might remember that we saw a somewhat skewed mix in half 1 of the year due to the anticipated launch of Toniebox 2 and Tonieplay. The share of Tonieboxes sold at the time reduced a bit year-on-year simply because the launch created that temporary shift in sales patterns, which we already explained in August. In Q3, we've now seen that normalization as expected. And for year-to-date, we're back to our usual seasonality pattern. I'd also like to point out the performance of the Tonies category here, where we have seen a 36% year-over-year growth in revenues in constant currency, resulting a slight increase in overall share of the business. That is now developing exactly as we expected and how we want it to be. This disproportionate growth is the result of the successful extension of our portfolio. So particularly fueled by new products such as Tonieplay, Book Tonies, My First Tonies as well as the milestone launches like Tobias mentioned, Ms. Rachel or the Christmas Tonies. So in short, after some temporary shifts earlier in the year, our year-to-date overview shows that Q3 brought us back to our usual healthy balance with continued momentum coming from our growing content portfolio. So, picking up from what I just shared regarding our 9 months figures, let's zoom in on Q3 because this quarter really stands out. Looking at these growth numbers, you can clearly see how much momentum we had in the third quarter. Q3 was exceptionally strong across every region, every new product category helped us reach a new level of growth. And while it's fantastic to present such a performance in my first earnings call, it is an exceptional benchmark. It was partly driven by phasing effects, as mentioned earlier. But for now, it's great to see such a strong performance driven by our latest innovations and the excitement that they have created in the market. Now let's come back to something we've spent a lot of time on in our last call, how we're handling unpredictable macro effects, especially around U.S. tariffs. But today, we can say with confidence, we've got clarity for 2025. But more so, we've done our part to become more resilient. We have now sourcing flexibility across both figurines and box manufacturing, the latter of which we bolstered this year by opening a new production site in Vietnam already in April. Also in regards to foreign currency, we're in a good place, even with our international business growing because we are naturally hedged via our supply chain and other expenses. When it comes to consumer sentiment, our business model continues to prove resilient. We're seeing healthy demand, strong pricing power and support from our partners as we head into Q4. So I'm glad that resilience is something that's showing up in the numbers and how we're able to move forward largely unaffected by what's happening around us. Let me hand back to Tobias now, who will present our outlook for the full year.
Tobias Wann: Thanks, Hansjorg. Building on the resilience we just talked about, you won't be surprised that this closing section in which we present our guidance is without surprises. And I say this with confidence also for us, the most important time is now. Traditionally, Q4 makes up close to half of our annual revenues with the holiday season and special commercial moments such as Black Friday and Cyber Monday being key to our performance. This year is no different despite some intra-year phasing effects that are quite natural when you have such a big launch as ours. Something that also hasn't changed is the fact that we are approaching high season, well prepared. Over the past years, we have learned to deliver at scale consistently recording more than 45% of our full year revenues between October and December. With 53% of our revenue target already in the books after 9 months, we are well on track to achieve our guidance and finish the year on a high note again. And as a result, we are reiterating our full year guidance for 2025. Profitable growth continues to be at the core of our story. We expect group revenue to grow by more than 25% this year in constant currency, taking us above EUR 600 million, with North America set to deliver over 30% growth in constant currency. For our adjusted EBITDA margin, we are guiding in a range of 6.5% to 8.5%. 2025 is shaping up to be another great year for Tonies. We are confident in our momentum and are well positioned to deliver strong profitable growth yet again. And with that being said, we are now happy and ready to take your questions.
Peter Dietz: Thank you, Tobias. Let us now begin with the Q&A session. As a reminder, if you have any questions, please post in via the Zoom Q&A function and as I've seen, some of you already did. So, let's jump into the first question which we already received. Could you calibrate the Q3 growth rate versus the full year guidance? Does this mean that you will increase your guidance in the weeks to come?
Tobias Wann: Happy to take this one. So, I hope it became also clear throughout the presentation. We have no plans to change our existing guidance for the year. And as communicated before, all impacts from TB2 tariffs and everything are already included in our guidance. I want to reiterate, Q3 was exceptionally good due to phasing effects from the TB2 launch and substantial retail preorders, especially in September. Q4 will be, for sure, again, our best quarter of the year with almost 50% of revenue share. We have always delivered on our promises since the IPO in 2021, and we are confident that this is going to be another successful year for tonies. Let me put it this way.
Peter Dietz: Thanks, Tobias. The next question is an interesting one. Can you please give us a first indication regarding your expectations for '26? Will the growth dynamics be comparable to '25?
Tobias Wann: Yes, it's a great question. But let's be clear, at this very moment, it's too early to provide you with any details regarding expectations for 2026. But I would like to frame this a bit because I'm getting this question a lot, and I can understand it. We have a very large and growing sticky installed base. And we have a resilient, highly scalable business model. So, we are absolutely confident that next year will be another year with substantial growth and higher profitability. So, we are not changing anything to our business. And that said, I think you and I, we wouldn't expect anything different there. So, I think what I want you to take home, we have all ingredients for a successful and exciting year ahead. We have an exciting innovation pipeline. Some of the elements we have already announced today, others will be announced later and next year, and I am personally very excited about that. We have a continued strong momentum in all our geographies. And as I said, we have a really, really, really good business model. So, we will give a detailed outlook for 2026 for sure, when we do our financial year 2025 review on April 14. And then I think also something you should put in your calendars at least pencil it in for Q2 next year, we are planning a Capital Markets Day. And during that Capital Markets Day, we will provide more details about the growth potentials, not only for '26 then, but also for all the years to come.
Peter Dietz: Okay. Thanks. I hope that covers everything. I think we have the first question for Hansjorg now, and we can split it in 3 parts. So, how was your profitability in the first 9 months? That's the first part. And how do you think about EBITDA margin guidance now the tariff impacts are clear. And there's already a follow-up question in there. What will free cash flow be? So, Hansjorg, the floor is yours.
Hansjorg Muller: Thanks, Peter. That's 3 questions for me. Thank you. Happy to take them. So, profitability year-to-date, I think you're aware, we don't provide information regarding profitability in our Q1 and Q3 announcements. But you have seen that we've been profitable for half of -- first half of 2025 on a comparable level to the prior year. And we are happy how this is developing further in Q3. We have -- also need to add, we do have a special year with the launch of Toniebox 2 and equally tariffs. But despite this tariff uncertainty at the beginning of the year, we have shown that we've managed the business with foresight. So, I mentioned previously, Vietnam production. And we have a toolkit at hand that now allows us to navigate this macro environment. And now thanks to the, call it, calmer environment with regards to tariffs, we believe we have sufficient clarity on our profitability for the remainder of the year, and that's why we are confirming our guidance, as I said before. So, coming out of these 9 months with strong confidence to achieve the guided adjusted EBITDA margin between 6.5% and 8.5% in fiscal 2025. And you had a question about cash flow. We don't guide or comment on free cash flow. But what I can say, positive free cash flow is inherent in our business model. And but then also second, given we operate this year in a broader inventory environment due to the launch, right? We're launching a new box. We're expanding the portfolio, and we're growing strongly plus the volatile macro environment, we've decided for more safety in terms of a higher inventory. So this will affect our free cash flow in this period. But we are confident for structurally strong cash flow generation in the years to come. And again, this year's decision, growth -- weighing growth decisions are of strategic nature to support our content and product expansion. I hope that clarifies?
Peter Dietz: Thanks, Hansjorg. A different topic regarding the partnerships. Can you quantify your expectations for the extended partnership with Hasbro? When can we see the first impacts?
Tobias Wann: I can't and I don't want to quantify them. I can share again my excitement, but I hope you understand that we cannot provide detailed figures for individual partnerships. But it's -- let me take this question as an opportunity to explain again how important partnerships like this one with Hasbro are for us. They are part of a multiyear portfolio and product planning strategy that we clearly have, but they are also clearly fueling our growth and our relevance as a brand in the next coming months and years. And this is because we are building a very -- continue to building a very diverse and engaging content with very interactive formats, both, by the way, in licensed and owned and now for children aged from 1 to 9 and even older. And I think I said this a couple of times, the partnership with Hasbro is a great example, and it's also one I personally find very, very exciting because I do like the games that we are going to tonify in 2026. We see a lot of economic potential clearly. But another thing that is important to me and also for my team is the fact that we are now also moving on the family table with the Toniebox and families, friends sitting around the Toniebox, playing with the Toniebox, multiplayer mode, single player mode, this is a complete new thing for us, and this is exciting, and I can't wait for this to happen.
Peter Dietz: Okay. Thanks. One regarding the TB2 feedback. How do you assess customer feedback on TB2 so far? What do you say about the negative feedback related to TB2 launch one can find on the social media at some places?
Tobias Wann: So, I mean, I've shared the numbers with you. The feedback on TB2 and Tonieplay has been overwhelmingly positive. It's nothing we are making up here. These are pure true numbers. So both, by the way, from consumers as well, importantly for us as well, from retailers, and you saw media as well. So the reviews that we are seeing are very promising. The sentiment that we are measuring is clearly on our side, by the way, both from upgraders as well as new joiners into the Tonies ecosystem. So, the first learnings we take from that is that we have, I think, done an excellent job to launch a flagship product that takes everything that's been great about our previous Toniebox 1 and improves it in many ways. Also very important, the play extension and with it, obviously, with Tonieplay and all the technical improvements we have done, sound quality, design, haptics, that's something I'm really, really proud about and also what the team has done here over the last couple of years. There's an important technical feature that excites me a lot, and I think, I guess, also a lot of you, we are going to take over-the-air updates in the future to continuously make the product better. So, this is already a fantastic product, has a lot of positive consumer sentiment and reception, but we are continuously working on new features, new exciting things that we are then going to launch over the next couple of weeks, months, even years to increase the interactivity of Toniebox 2. And yes, there is here and there also feedback that we are taking close to our heart that we want to continue and want to improve the box in its experience. There's one thing I want to take this opportunity because I've heard it so many times, the cable that is included with TB 2 and it's actually also the #1 critics, if you read it online, is very, very short. But no, we are not saving money on cable length. This is a regulatory requirement for the box to be 1 plus certified. And if we would have actually had a longer cable, we would have not gotten this 1 plus certification. We have probably -- we can improve the communication about this and explain to our consumers why the cable link is as it is, but it is certainly nothing we have done to save money or, yes, create frustration. So, for almost all of the feedback points, we are very confident that we will have solutions or that we are communicating better on it. The overall sentiment, the overall reception of Toniebox 2 and Tonieplay was absolutely overwhelmingly positive.
Peter Dietz: Okay. One regarding consumer sentiment. How sustainable is the current demand trend into Q4? Are you seeing any changes in consumer sentiment in your core markets?
Tobias Wann: So, I think I said it in the presentation, our business model proves continuously to be very, very resilient. And that also obviously speaks to the way we look at consumer sentiment. We are seeing very healthy demand. But then there's a second data point that you all know that we have that is important to us and that we measure very, very closely that is activation data. So, the number of Tonies and boxes that are being activated. And year-to-date, we are seeing very encouraging patterns. So, that is a good signal and a continued forward-looking signal also for us about consumer sentiment. And apart from that, as you've seen this year, again, we have very strong pricing power, and we have support from our partners, retailers and also our marketplace partners as we head into Q4. So, I'm personally really glad that this resilience is something that is showing up in the numbers that I've just presented today and Hansjorg have presented today. And we are currently unaffected by consumer sentiment, and we are walking into Q4 with a high level of confidence.
Peter Dietz: We received 2 more questions for Hansjorg, I think. One is, you're talking about phasing for Q3, but this should only be true for the boxes. Why you think the figurines and accessors are so strong?
Hansjorg Muller: Yes. Thanks for the question. I think the way to think about this is the fact with the launch of Toniebox 2, we launched into a whole new category, right? Toniebox 2 comes with play, which is the attach to Toniebox 2. And with that, there is a significant phasing, namely all the games that come in the Tonies category. So, that's the phasing part. But of course, we also have organic growth, so to say, in that category from the products that I mentioned earlier that contribute to that 36% year-over-year growth in the Tonies category.
Peter Dietz: And another typical CFO question, I guess, can you break down the content licensing costs for figurines in Q3? And are there new licensing agreements that could materially increase costs in '25 or for the rest of '25, I suppose?
Hansjorg Muller: Yes. Breaking it down would probably go into a lot of detail. But at a high level, there is typically 2 licenses, one is for the figurine, one is for the audio for the content. And for the new formats, that is very similar for Tonieplay. But you can assume that we negotiate with our partners for new or rates for new products that will match or come in at similar levels versus where we're coming from. So, I wouldn't expect any distortions or significant volatility. Now having said that, licensing cost ratio always depends a bit on our product mix as we've seen historically, but it's hovering around a very stable ratio.
Peter Dietz: Okay. How sustainable is the Q3 growth run rate? What would be a sustainable growth rate in the coming quarters, indication on current trading would be helpful.
Tobias Wann: I'm happy to take that. I think Hansjorg has spoken to it, and we have touched this in the presentation a couple of times. If you look at Q3 in isolation, clearly, the growth rate is influenced by the seasonal shifts we have seen due to the TB2 launch. And then that makes it clear, therefore, it is unique. We have guided a full year growth rate, and this should give you an indication for Q3.
Peter Dietz: Another one for Tobias, which product categories do you still want to penetrate? And what R&D costs are expected in Q4 and in '26?
Tobias Wann: I hope you understand I'm not going to explain our product road map to the public. There are many things that we are working on that creates a lot of excitement. And I think those of you who know me, they also -- you also can confirm that I personally stand for acceleration of our innovation speed. There's a lot more and sooner than obviously waiting another 9 years that I want to achieve with the team. I'm personally extremely excited. I can tell you that for what it's coming in '26, in '27 and '28, and I think probably the best way to look at this is and building some excitement, hopefully, with you is the Capital Markets Day because that is a good opportunity for us to also look into a bit of a broader strategy that holds for a couple more years.
Peter Dietz: Okay. As I can see, we have 3 more questions at the moment. One is regarding the Rest of World development. In Rest of World, we saw significant growth in Q3. You mentioned better product accessibility as the main driver. How do you achieve better product accessibility in those regions?
Tobias Wann: Product accessibility. So, I think if you look at the growth in Rest of World in every market, it's sustained by scaling our operations and the installed base, right? So, what we are doing is we are expanding the channel. We have more retailers, more doors, more shelf space and then all results in more velocity at the point of sales. And we have product expansion, right? So, we have above-the-box product expansion that continuous innovation, and we presented a few over the last couple of earnings calls. So, I mentioned pocket Tonies before. So that's Clever Tonies and Book Tonies, I mentioned My First Tonies. There's a lot happening and continues to happen on above-the-box innovation as we call it. And now obviously, with Toniebox 2, there is also innovation that is happening at the box level. And as I said, there is clearly also our desire to continue working on innovation like that. And if you combine all these things in this recipe, there is continued accessibility in all region, not only in rest of world.
Peter Dietz: Okay. Thanks. We have a question from an investor who also seems to be a customer of us. As a parent, I'm excited about Toniebox 2 and plan to upgrade. From an investor perspective, could you clarify whether Toniebox 2 includes any design or manufacturing changes that are expected to reduce unit production or maintenance costs and thereby improve gross margin or operating profit?
Tobias Wann: Hansjorg, do you want to take that one?
Hansjorg Muller: Happy to take that, and thank you for considering to upgrade. I'm also a parent and I have upgraded. I think we have talked to this to an extent at the TB2 call. We currently do not plan with improvement in margins for this year. We rather plan with directionally similar levels as with TB1. Of course, we're working on initiatives to continuously improve our bottom line through product levers, design-to-value levers as we've shown in the past years, and we're good at it. But right now, we're not able to comment further details on that.
Peter Dietz: Okay. Here's the one related to the revenue share of TB1 and TB 2. How does it compare between the 2 Tonieboxes? How does the share of each Toniebox looks like? And what could be the rough steady-state estimate for '26?
Hansjorg Muller: Yes, happy to take that one, too. But a simple answer, please understand we're not breaking out this detail at the highest level or simply said TB2 replaces TB1.
Peter Dietz: That was quick. Another follow-up to the free cash flow question we already received. Can you explain what free cash flow you think tonies can achieve in Q4?
Tobias Wann: Hansjorg?
Hansjorg Muller: We're not providing a free cash flow guidance, as you know, as mentioned before. And then, yes, I can add 2025 is marked by high investments, right, associated with the market launch of TB2 and Tonieplay. We're expanding our portfolio. So, the strong figure that we showed in 2024 is maybe not the exact or the right comparison. But as I mentioned before, we are confident to deliver sustainable positive cash flow in the years to come as we are able to deliver on our substantial growth potentials our business model has. So free positive cash flow is inherent in the business model, but now we manage growth and product and category expansion first.
Peter Dietz: Okay. And I think we're coming to the last question we received, and this could be a question I have sent in because I'm most interested in this one. How likely is [ SDAX ] inclusion in '26?
Tobias Wann: Happy to take this one. And I'm interested in this one as well. I'm following this personally. But I have to tell you, it's difficult to answer. All of you know how it works. There are clear criteria for companies to be included in SDAX. We do qualify from -- clearly qualify from a market cap perspective. Turnover rate is the other important criteria. And based on the trading in the past few months, I would say it's increasingly likely. But I cannot predict this. And so, I would probably recommend you do your own calculation and your own estimations and follow it, and then we'll look at it again early 2026.
Peter Dietz: Okay. Since there is no other follow-up question, this concludes and wraps up our Q&A session. And as far as I have the microphone already, I continue a bit. And this is maybe also helpful for the inclusion into the SDAX in the weeks and months to come. So, it shows you a bit what we plan to do in the weeks and in the next quarter. The first glance on our financial calendar for '26 and the next official announcement date will be, as in the last years, we already did this the same way. We have scheduled the communication of Tonies preliminary results for beginning of February. And before that, we will be on the road with roadshows and conferences. We provide the presentation anyway on our web page or it's already on our web page, so you can check yourself. And if you are available around in the cities mentioned here, we would be happy to meet you personally. So, please ask the accompanying bank or the [ Ion ] Capital Forum will be a big one end of November to show up yourself. And we will continue this with the auto conference in Lyon and another big conference in Frankfurt. So, we're happy to meet you there and continue the conversation and whenever feel free to contact us for any additional questions you have following this conference call. And now we come to the end, as usual, with the key takeaways of Tobias, and over to you.
Tobias Wann: Thank you, Peter. Maybe before I get to the wrap-up, I just want to -- thank you again for the great questions we got from you today. I also realize we didn't get to all the questions. We actually received quite a lot, which I appreciate. But maybe that's also a great connection to what you just said, Peter. If you are in one of the conferences, please make sure that you ask the question again, and we are very, very happy to answer them. Of course, you can always also reach out to Peter and our Investor Relation team, and we'll make sure that we follow up after the call. Okay. Let me briefly state the 5 key takeaways that have defined our performance so far this year and obviously also set the stage for Q4 and beyond. First, looking at our results year-to-date, we delivered strong growth across all markets with a truly exceptional Q3. The launch of Toniebox 2 drove growth and our footprint continues to expand. Our strategy is working, and we can deliver growth even under uncertain macroeconomic circumstances. This is important. Second, Toniebox 2 is a fantastic launch success. Let me be very, very clear here. It was important to land our biggest innovation to date, and we did. We are already seeing the first traction along our planned growth vectors that I explained and the product resonates with families, the momentum is real. Third, we are heading into the most important time of the year, well prepared and with confidence. Our team is ready to deliver powered by the strong feedback Toniebox 2 has received. Fourth, just like Tonies, our leadership team is stronger than ever. With Ginny, Christoph, Hansjorg on board, we have a group anchored in both Germany and the U.S., combining global experience, deep functional expertise and a shared commitment to driving Tonies next chapter. And finally, we are well positioned for '26 and beyond. Our new platform around the Toniebox 2 ecosystem sets us up for continued profitable growth and long-term success. I'm proud of what the team has achieved, and I'm excited for the crucial final stretch of the year, as well as for everything that lies ahead for Tonies next year, this year, even today because today is going to be an amazing day. Peter? [Presentation] Thank you, Snoop. A fantastic partnership we are really, really enjoying. So, I sincerely hope that you all have an amazing day, and I thank you for your continued interest, your trust and for joining us today. Take care. Bye-bye.